Frank Maaø: Good morning, and welcome to Telenor's results call for the second quarter. My name is Frank Maao, Head of Investor Relations here. And I'm joined by our Group CEO, Benedicte Schilbred Fasmer; as well as our Group CFO, Torbjorn Wist. Before we kick off, a couple of housekeeping items as usual. On this call, all numbers are in Norwegian kroner, and growth rates are referred to on an organic like-for-like currency basis, unless otherwise stated. For simplicity, comments on this call referring to EBITDA are referring to adjusted EBITDA. [Operator Instructions] So without further ado, Benedicte, the floor is yours.
Benedicte Schilbred Fasmer: Thank you very much, Frank, and good morning, everyone. We really appreciate you taking the time to join us today. We experienced profound geopolitical shifts and changes in tariffs and trade policies by the day. Fortunately, short term, these effects for Telenor are limited. However, longer term, it may imply changes affecting all markets, including Telenor. But despite what's happening around us, we are really proud to present very strong results for the second quarter. We saw exceptional performance in the Nordics, driven by double-digit EBITDA growth in Norway and the Nordic business area. We also saw improved performance in Asia in infrastructure, whilst Amp continued to lag our performance ambitions. In the Nordics, the strong execution is a result of a well-established commercial strategy and the transformation program, which is driving both improved customer experiences as well as operational efficiencies. These radical improvement efforts are far from finished and will continue to be key for us in the coming years. All in all, on the bottom line, these effects trickle down through the P&L, driving adjusted EPS growth to 33% in the quarter. As a leading telco in the Nordic, both fixed and mobile services are core markets for us. And we have recently announced our intention to expand our fiber reach in Norway through an M&A transaction. And today, we also announced the plan to upgrade all of DNA's housing associations in Finland to fiber over the next years to the benefit of our customers. And finally, we reiterate our top line, CapEx and free cash flow outlook for the year. We raised our EBITDA guidance for the Nordics and for group on the back of the solid performance in the first half. So let me take you through the key developments in the Nordics and Asia before Torbjorn takes you through the final details. Service revenue growth in the Nordic rebounded in Q2 to match the growth level from 1 year earlier. The 3.7% service revenue growth in the Nordics was supported by ARPA growth across markets and positive subs development in Sweden, Denmark and Finland. In terms of results, it was one of those weird quarters in which nearly everything moved in our favor, especially in Norway, as you can see from the dotted line on the right side of this page. The EBITDA growth of 16.1% in Norway is a level we have not seen for more than a decade. Together with continued growth in Finland and Sweden and progress on the Nordic transformation program, this actually resulted in 12.5% EBITDA growth for the Nordics as a whole. As you might have seen, we recently announced the acquisition of GlobalConnect's consumer fiber business in Norway at an enterprise value of NOK 6 billion. On -- with this deal, we will acquire their access infrastructure and welcome about 140,000 new fiber customers to Telenor. And this will increase our subscriber share from 22% to 29% of the fiber market. This will strengthen our foundation as the leading digital infrastructure provider in Norway once the competition authority approval has been secured. The transaction will benefit our customers and enable us to reap significant cost synergies while leveraging economies of both scope and scale. Telenor Norway has the only fiber network that is open to wholesale competitors, and this deal will entail an increased reach for this open network. Then moving on to Finland, where we today announced the plan to upgrade DNA's market-leading fixed broadband infrastructure to become an all-fiber network for housing associations customers by 2028. Fiber and fixed investments are, of course, a key part of our regular CapEx in Finland. However, this entails a significant step-up totaling around EUR 120 million in fiber investments over the medium term, and it will start later this year. Then I'll give you some key points on our Asian businesses. In Asia, we continue to grow our results despite a challenging macro and regulatory environment. True in Thailand continued to deliver very decent performance over the first quarter, and we noted that management were clear that there is still room for significant growth and efficiency improvements, and that they've embarked on a transformational journey to address this. The company also reiterated the intention to recommend a dividend to the Board later this year. We also found that the recent spectrum auction in Thailand was encouraging as it reinforces a sound industry structure in the country. In Malaysia, our key ownership priority is to ensure that CelcomDigi has a laser focus to drive cost efficiencies and to address top line pressure and mounting headwinds from the country's unprecedented 5G approach. Whilst Malaysia has an intensely competitive telecoms market with 5 active mobile operators, CelcomDigi has nevertheless been able to uphold a steady dividend flow to its shareholders. In Bangladesh, Grameenphone executed well this quarter against a tough year-over-year comparison or comparable, but commercially -- both commercially and in terms of cost efficiency. However, we acknowledge that the recovery we had been hoping for this year is more likely to be a post-election story during 2026. Finally, Telenor Pakistan continued its streak of impressive operational performance. On the other hand, the tax authorities in Pakistan have more actively pursued collection of disputed tax claims. We stand firm on our sale of Telenor Pakistan. The sale is set to create a stronger company with the capacity to develop and invest in future-proof digital infrastructure for Pakistan. However, there's been no regulatory clearance of the sale to PTCL. And this delay is a challenging situation for Telenor Pakistan and it risks hampering 5G investments and the digital development of the country. The telecom regulator, PTA, supports the transaction, which we expect will be approved by the competition authority, enabling a closing we hope for in the second half of 2025. And with this, I'll hand you over to Torbjorn for the financials.
Torbjorn Mogard Wist: Thank you very much, Benedicte, and good morning to everybody on this call on such a fine summer's day here in Oslo. It does feel great to be basking in the additional sunshine provided by this strong set of results. I was tempted to wear shades, but my IR department said no. Now starting with the Q2 financial highlights for the group. In the second quarter, service revenues totaled NOK 16.5 billion, which represents a 2.9% annual increase. EBITDA reached NOK 9.3 billion, up 8% year-over-year. Now this growth was largely supported by the exceptional performance in Telenor Nordics. In Q2, adjusted EPS came in at NOK 2.22, up 33% from last year on the back of the stronger EBITDA and increased contribution from associates and joint ventures. Free cash flow before M&A came in at NOK 1.6 billion, somewhat dented by the development in operating working capital, provision outflow for annual bonuses and a negative NOK 0.2 billion cash flow in Asia. The latter was mostly due to dividends to noncontrolling interest in Grameenphone and the disputed legacy tax case that was surprisingly collected by the authorities in Pakistan. Our CapEx to sales ratio was 13.5%, which is 1.9 percentage points lower than the same period last year. The leverage ratio ended at 2.4x, influenced by the timing of dividend payment in May as well as unfavorable currency effects. Now as you've heard from both Benedicte and me before, driving return on capital remains a top priority for Telenor. Our key external metric for this is return on capital employed, which came in at 8.8% for the last 12 months. Now if you were to exclude the associated companies we have in Asia, True and CelcomDigi, the group return on capital employed would have been 13.2% for the rest of the group. Then zooming in on the top line. The annual group service revenue growth of 2.9% was somewhat affected by the economical setback in Bangladesh following the events in Q3 last year. Nordics was the main driver of the top line with 3.7% growth with mobile services growth kicking in at a solid 5.6% I am particularly pleased to note that this growth metric was back over the 5% level around which we had a strong streak over several quarters during 2023 and 2024. The group OpEx was quite stable in the second quarter, increasing 0.7%, down from the 1.9% increase in the first quarter. This was mainly driven by our Nordic transformation program, cost discipline in Grameenphone and lower energy prices in Pakistan. The increased costs in Amp are mainly related to the Cyberdefence business, which is now being gradually built up. We also saw some increase in corporate costs in conjunction with changed internal cost allocation from the end of '24 as we explained in the first quarter. The main cost category of OpEx increase was sales and marketing in the Nordics, 2/3 of which were incurred in Denmark, and this is mainly related to increased market activities and elevated churn levels in Denmark. However, this increase was more than offset in the Nordics by our transformation efforts, resulting in efficiencies on the personnel side as well as within operation and maintenance costs. Parts of the transformation also included transfer of the cybersecurity and B2C cloud businesses from Norway to Amp on the 1st of September '24 and the 1st of May '25, respectively. As a result, OpEx came down 1.6% in the Nordics with a 3.8% reduction in Norway as the main contributor this quarter. These numbers were partially helped by the mentioned transfer of businesses to Amp, which reduced OpEx in the Nordics by 0.6 percentage points and 1.4 percentage point in Norway. Group adjusted EBITDA amounted to NOK 9.3 billion, which is an increase of 8.3% year- over-year. Asia contributed positively, partly offset by group effects similar to the ones we discussed in Q1. But again, the main driver was the performance in the Nordics. And in this business area, we saw EBITDA growth deviating from the recent trajectory. As you can see on the right-hand side, Telenor Norway was the bellwether this quarter with an exceptional growth of 16.1%, but with both DNA and Sweden following suit with growth rates closing in on 10%. Now let me double-click on the EBITDA growth for this quarter. As you might recall from our previous call, where we mentioned that the year-on-year EBITDA growth in Q1 would have been 7.5% in the absence of the TV VAT provisions in Norway. Now given this starting point, the growth this quarter of 12.5% was 5 percentage points higher. In the sequential bridge you can see on the screen, you also see that Sweden contributed with a further 0.6 percentage points to Nordic's EBITDA growth, but that the rest of the performance hikes are mostly driven by factors in Norway. Growth in service revenues in Norway explained 2.6 percentage points of EBITDA growth. Around 1 percentage point of this number was driven by the timing of back book price changes, which were made earlier in the quarter this year. In addition, we saw full quarter impact from the roaming agreement with Lyse Tele or ICE, which came into effect in mid-March. In addition, traffic volumes under the agreement were higher than originally anticipated. We now expect roaming revenues of more than NOK 0.5 billion for 2025 as a whole versus the previous estimate of around NOK 0.4 billion. Taken together, the service revenue and roaming revenue effects in Norway contributed around 5 percentage points of the EBITDA growth for Telenor Nordics. Other gross profit improvements and structural reduction in OpEx also contributed positively by around 1 percentage point. Summing this up, Nordics experienced a 12.5% year-on-year growth in adjusted EBITDA, a quite exceptional level. While I, as a CFO, would like to get used to such levels, I think it is unrealistic to assume this on a regular basis going forward, but we're certainly very pleased with the performance in Q2. Turning to Asia, where the profitability of our businesses measured in local currency continued to strengthen. Starting with our consolidated businesses in Asia. While nominal revenues and EBITDA are down, the overall organic growth numbers are both in the black this quarter. In organic terms, Telenor Pakistan delivered exceptional performance, helped by the continued optimization of data prices, leading to an ARPU growth of 18% as well as continued support from reduced energy prices. EBITDA growth of 28% is, of course, quite out of the ordinary. Note, however, that Pakistani tax authorities have been even more active than previously in enforcing tax collection, including on disputed legacy tax cases. The surprising collection cost in this quarter cost us almost NOK 0.25 billion. Also note that the reported nominal kroner numbers shown here were materially impacted by the FX weakening in both Pakistan and Bangladesh, partly due to macro and partly due to the general weakening of the U.S. dollar. Turning to our 2 associated companies in Thailand and Malaysia. The earnings contribution from these 2 major companies, which we report with 1 quarter lag, was positive. This was particularly the case for True Corp, which reported positive net profit for the first time. Given our historical experiences with spectrum auctions in Thailand, we were particularly encouraged by the outcome of the recent auction. The outcome, in our view, was a derisking event, allowing True to optimize its overall spectrum costs going forward. In CelcomDigi, as Benedicte said, the market is super competitive, but the company is on track with synergy realization and network rollout. While EBIT increased by 21%, quite a large number, this was mainly due to a write-down that impacted the same quarter last year, hence, boosting this growth rate. Going forward, we believe it will be key for Malaysia to ensure a long-term solution for 5G that is financially and operationally viable for all market participants. Next, let me highlight some of the most notable items affecting the P&L statement this quarter before moving to our cash flows and leverage. The reported EBITDA was NOK 9.9 billion, while the adjusted EBITDA landed on NOK 9.3 billion. On other items, we booked a NOK 535 million gain from the cloud storage JV with Jottacloud that we announced earlier this year. Moving further down, we have a minor catch-up amortization of NOK 63 million in Sweden, weighing a little bit on the DNA line. All in all, we generated net income to equity holders of NOK 3.7 billion in Q2, leading to a significant improvement in EPS -- adjusted EPS to NOK 2.22 per share. Then moving to cash flows. We generated free cash flows before M&A of NOK 4.6 billion in the first half of the year, NOK 1.6 billion of which was brought in during the second quarter. Now let me walk you through the various steps of the Q2 EBITDA to free cash flow bridge. As we talked about last time, we have significantly and seasonally higher interest payments in the second and fourth quarter of the year. This quarter, net interest paid was twice as high as in the previous quarter, in line with the usual pattern. Income taxes paid were higher than expected due to a NOK 0.25 billion tax payment in Pakistan, as I mentioned previously. And CapEx, both paid and booked amounted to NOK 2.8 billion in the quarter. On the working capital side, we saw a negative NOK 0.7 billion change, mostly from the Nordics. Around 1/4 of this comes from payment of the Norway TV VAT case we provided for over the last 2 quarters. The rest mostly relates to natural variations in tax cycles and timing of prepaid revenue. We did not make use of any handset financing this quarter, which had a positive contribution in the same quarter of last year. We had NOK 0.2 billion in spectrum-related payments in Bangladesh and Denmark. And during the quarter, we received a NOK 345 million dividend from CelcomDigi. Other lease payments, including prepayments amounted to a total of NOK 1.1 billion, a figure largely consistent with the indicated average level that we have previously communicated. Now it doesn't perhaps need to be said, but when we benefit from the upstreaming of dividends, our co- shareholders do so as well. And in the quarter, we paid NOK 0.9 billion to noncontrolling interest in Grameenphone. Note that for Q3, Grameenphone has declared an interim dividend of its full net profit for the first half of '25. This will cause a cash outflow of NOK 0.6 billion in dividend to noncontrolling shareholders as well as withholding tax in the third quarter. Finally, we had an M&A outflow of NOK 0.6 billion, of which NOK 0.5 billion was related to the last tranche of conversion from partial indirect ownership in True to direct ownership. Based on the original agreement we had with CP Group, the final transaction would be done at market value. And following this, all of our shares in True are now directly held. Summing up, we ended Q2 with NOK 1.6 billion of free cash flow before M&A and NOK 1 billion in total free cash flow. Then to the main highlights from the balance sheet. In Q2, we had NOK 90 billion in net interest-bearing debt with NOK 100 billion in gross debt less NOK 3.4 billion in license obligations and NOK 6 billion in cash. This quarter, our leverage ratio ended at 2.4x, partly following our dividend payment in May of NOK 6.5 billion. We also saw currency changes, increasing our net debt by some NOK 3 billion in the quarter, mainly driven by the 4.5% quarter-on-quarter strengthening of the euro versus the NOK, all of which took place during the last 10 days of June. As previously stated, FX, macro and seasonality factors can lead to net leverage fluctuations between quarters, sometimes resulting in a level just outside the range as we saw now. And we do expect to return back within our target leverage range during 2025. And this brings us to the financial outlook for the year. Based on the strong performance in the first half and particularly in the second quarter, we have revised our outlook for 2025. As you can see from this slide, we have raised the EBITDA outlook for the Nordics to high single-digit growth, while the group EBITDA growth is raised to mid-single-digit growth. We reaffirm the other outlook elements for the year. You will also see that the first half actuals are broadly in line with our revised full year outlook. The free cash flow both from Q1 and Q2 has come in somewhat above our own expectations. As such, we reiterate our expectation of a more -- of a back-end loaded 2025 free cash flow due to the cash flow profile in Asia. As we raise the EBITDA outlook to high single digits for the Nordics, let me be clear that we do not find it prudent to assume that EBITDA growth in the Nordics will continue at the levels seen in the first half. While we continue to pursue meaningful transformation-driven OpEx decline for the full year, in the second half, we do expect higher spending on sales and marketing or market activities as well as further strengthening of business resilience, particularly in Norway. We also reiterate the CapEx sales outlook for the Nordics of around 14%. However, in the second half, we will make some of the new fiber investments in Finland as well as some resilience-related investments in Norway. As such, the decimal rounding is more likely to be on the upside of 14% rather than on the downside. For free cash flow, we continue to expect around NOK 13 billion before M&A for the full year, covering our dividend payments during 2025. We feel that we have good business and cash flow momentum in the Nordics, while for Asia, we currently expect around 1/3 of the NOK 13 billion to be generated in that region, including dividend payments from True in Q4. With that, I'd like to hand over to Benedicte for the concluding remarks.
Benedicte Schilbred Fasmer: Thank you. So despite a turbulent international environment, we had a quarter with unusually strong operating performance, resulting in a raised EBITDA growth outlook. The quarter included double-digit EBITDA growth in the Nordics, continued challenges, but improved EBITDA growth and important spectrum milestones in Asia, resulting in 33% growth in adjusted EPS for the group. And I think it's fair to say that not too many incumbent telcos globally are able to demonstrate this level of performance. So for me, these numbers are a testament to the quality of the organization, the dedication of our employees and the trust we work hard every day to deserve from our customers. So with this, I'll hand you back to Frank. Frank Maaø Thank you, Benedicte. We are now ready for questions from our audience. [Operator Instructions] So with that, operator, please go ahead.
Operator: [Operator Instructions] Our first question will come from Christoffer Bjornsen with DNB Bank ASA.
Christoffer Wang Bjørnsen: So first of all, I just wanted to ask on the guidance. So congrats on the increasing the EBITDA guidance. That's great. But despite that quite material increase in the guidance, you're not doing anything with the free cash flow guidance for the quarter -- or for the year, sorry. Is that kind of due to the potentially higher CapEx for the year? Or is it something more to do with the spectrum auction turning out more expensive in Thailand or something like that or working capital?
Torbjorn Mogard Wist: Yes. No, I can cover that. There are a number of things that are in play here. Number one, of course, is that in the cash flows, particularly from Asia, there's, of course, an FX element that obviously has an impact. Number two, we have the payment of dividends in -- sorry, of the disputed tax claim in Pakistan, the working capital fluctuations and also perhaps some higher capital -- and there will be some higher CapEx, partly in relation to the rollout of fiber in Finland as well as some resilience investments in Norway, as mentioned on the -- when I talked about the CapEx. So all of these net-net are leading us to maintain the free cash flow guidance for the year.
Christoffer Wang Bjørnsen: All right. And then my second question is on the GlobalConnect deal, which seems pretty exciting. I think I saw you're going to make some kind of integration investments there and kind of picking up the network to your network and stuff like that. Is it fair to assume that the kind of the subscribers there will see any significant improvements in the quality of the service in terms of bandwidth or speed or anything like this as you make these investments?
Benedicte Schilbred Fasmer: I think it's fair to -- we're actually buying GlobalConnect's infrastructure and customer base. So they will have, at the outset, the same experience as today. However, we will certainly provide them with our services on top of that. And that's where we might have a pickup on the top line, for instance, security services, TV services and so on and so forth. So yes.
Operator: Our next question comes from Andrew Lee with Goldman Sachs.
Andrew J. Lee: So my question is just around the strong Nordic EBITDA growth. You gave us a lot of detail in the presentation. So thanks on that. Just as a kind of summary, how would you bucket or kind of explain broadly the drivers of the step-up in EBITDA growth between the structural step-up of the service revenue growth and maybe improved cost cutting? What do you think has been more important in driving that step-up in your guidance? And then the follow-up question would just be, you obviously have said a couple of times on this call that you can't -- you wouldn't necessarily presume that you can deliver 12.5% organic EBITDA growth in the Nordics every quarter from now on. But is there anything specific that you'd call out outside of your own higher sales and marketing perhaps that you mentioned that would cause the underlying growth to deteriorate? Anything market-wide or any kind of any obstacles or hurdles coming up that could derail the strong structural growth you're delivering?
Benedicte Schilbred Fasmer: I think -- yes, would you like to answer?
Torbjorn Mogard Wist: Sure. Yes. Look, in terms of the EBITDA effect, the combination of a step-up in service revenues on the back of what we believe is a strong and successful more-for-more strategy, combined with a laser focus on structural costs within the Nordics means that, of course, it get an amplification effect, which then trickles down to EBITDA. So from my perspective, both are very, very important contributors. Of course, the top line, just putting that aside, working systematically on structural OpEx is, of course, a way to avoid cost being tied up in unnecessary areas and have the freedom to invest in securing a better customer proposition. So both the service revenue as well as efficiency agenda are very, very important.
Benedicte Schilbred Fasmer: And I think on top of that, you have to remember that the fact that we got the roaming agreement effects coming in, which also spiked the growth somewhat. And the price increases have been implemented a bit earlier this year than in previous years. So that also has some effect on the timing of the price adjustments that we've done. And I'd also like to add, we have to remember that the focus on efficiencies and costs has been not something that is done within this quarter. It has been going on for years. And finally, we are seeing really nice and good effects on the results on the P&L.
Andrew J. Lee: And just on that follow-up, is there anything that stands out that would provide a headwind, an incremental headwind to your EBITDA growth into Q3 and Q4 outside of your own decisions on sales and marketing spend?
Torbjorn Mogard Wist: As I mentioned, the 2 things that we think will mute a little bit the EBITDA growth for the second half is, number one is market- related activities, which we do anticipate to be stepped up on. And the second thing is, of course, resilience-related OpEx, continuing to strengthen and lift things from legacy network to the cloud through more efficient cloud services. So I think this is -- these are parameters that will have a little bit of OpEx drive in the second half. And hence, we shouldn't expect to see the same level of growth rate as we saw in the first half.
Operator: Our next question comes from Ondrej Cabejsek from UBS.
Ondrej Cabejšek: I want to ask about Sweden. So we've seen quite a deterioration, I guess, in the pricing environment and profitability at some of your, I guess, closest peers in terms of reinvesting into growth a lot of the top line that they've been achieving. So clearly, there's, I guess, a worsening environment. In that context, you Benedicte have been in the press about potentially consolidating Sweden. So I just wanted to ask, there seems to not be a coincidence. And what are your kind of thoughts about that? And then associated with that, obviously, your balance sheet is quite stretched. You said that you will be by the end of this year within the kind of policy range. But then obviously, the GlobalConnect deal is lined up for early '26. And just curious like if there is a deal, how are you thinking about financing that? And is this a time to potentially be thinking about further exits from Asia?
Benedicte Schilbred Fasmer: All right. There was a lot of questions in one, and I'll start off and then maybe you will fill me in, Torbjorn. You asked about the service revenues in Sweden. And as -- you're right, you've seen somewhat stronger growth in some of the other actors or companies in the Swedish market. I think for Telenor, you probably have this quarter to look a bit more on the gross profit side because we have a good growth in the mobile service revenue, but the fixed service revenue is actually lagging and somewhat negative. So the net effect on the top line is a bit lower. However, though, that -- the fixed slowdown or decline is a very deliberate action on our side where we actually are taking away unprofitable products. So it's a managed decline, if you wish. The underlying picture is somewhat better and the gross profit in Sweden grew by 4%. Would you like to do the -- some of the other questions on...
Torbjorn Mogard Wist: Yes. Can you just repeat the second part of your question? I missed the first part of your....
Benedicte Schilbred Fasmer: Was it market consolidation in Sweden?
Ondrej Cabejšek: Well, I guess -- yes, it was basically because we clearly see in terms of the competitive dynamics, you and True, in particular, I think, seem to be kind of aggressively chasing growth. And especially if we look at True results, there's a lot of reinvestment into growth, which I said in the context of your comments around potential consolidation seems to be indicating that there is something going on. So I was just curious how you would be financing that given your balance sheet constraints and if there is time to start thinking about potential exit or further exits from Asia was basically the question.
Torbjorn Mogard Wist: Yes, those are fairly broad parameters. And I think we've been fairly clear that when it comes to consolidation in the Nordics, it's a principle that we support in terms of moving from 4 to 3. When you're moving into questions of finance, that assumes that there is a deal on the table. We do not comment other than to say that we support the principle of consolidation and would, of course, report that to the market as and when we had something to say. So -- and that always, of course, is fully related to your second part of your question about what would you sell in Asia in order to fund an acquisition in Sweden or Denmark for that matter.
Operator: Our next question comes from Keval Khiroya with...
Keval Khiroya: Hopefully, you can hear me. You've obviously shown strong progress on OpEx reduction in the Nordics. I appreciate you have the CMD later this year, but can you share any perspectives on how at this stage you're thinking about the extent of OpEx reduction going forward beyond the second half versus what you're reporting currently? And by way of follow-up, can I ask, are there any incremental areas of OpEx reduction you've found since taking over leadership of the company as well?
Benedicte Schilbred Fasmer: Well, we only guide within the year, right? However, as I said in -- when going through the results, I mean, the focus on efficiencies and simplification will be very important also going forward. But to give you any specific guidance, we don't do, I'm afraid.
Torbjorn Mogard Wist: Incremental areas and OpEx...
Benedicte Schilbred Fasmer: Yes. And of course, we still see potential on reducing OpEx on taking out legacy systems. And we also see we have a lot of AI projects, which could also help us take out some costs in, for instance, the customer service area and so on and so forth. But we'll come a bit more back to that in detail in the autumn in our Capital Markets Day.
Operator: Our next question comes from Nick Lyall with Berenberg.
Nicholas George Lyall: I feel a bit underdressed. Apologies for the T-shirt. Just a quick one really on the ICE volumes, please. I mean that was a bit of...
Frank Maaø: That was a bit of a surprise, I think he was going to say.
Benedicte Schilbred Fasmer: Yes. I guess I'm trying to guess your question, and -- are you there?
Frank Maaø: I think we lost Nick there. Perhaps we can move on to the next question, operator, and see if Nick can come back later. There we have him. Thank you.
Nicholas George Lyall: All right, sorry about this. Look, if I drop again, just chop me off. But yes, the volumes on ICE were a bit surprising, I think. But can you tell us why that would be? Is that because of calculations from yourselves maybe being a bit lower than expected? Or are there more volumes from maybe market share or just less of a build-out from ICE? Can you just tell us why? And what makes you think the GlobalConnect 6% or so market share of fiber is enough to offset the ICE effect over time? Can you explain -- is there a lot more to do in terms of broadband market share? You're still well behind Lyse and Altibox in terms of fiber market share. So is this enough? Or does a lot more need to be done to offset the ICE and Altibox threat?
Benedicte Schilbred Fasmer: On the ICE contract, there are 2 elements. One is the fact that it was phased in and implemented earlier than we expected. I mean that was just operational excellence, taking all in -- all the new customers in 1 day. So we got the benefit of that from March onwards rather than phased out over the year. So that's one. The other one is that the traffic, the roaming volumes have been higher than we calculated for or thought when we entered into the contract. So those are the 2 effects on the IS deal. When it comes to the fiber and GlobalConnect, we certainly have -- are lagging as compared to our market share on the mobile side, and this is a strategic move to kind of improve our market situation overall. If you ask us how much we're going to invest increasing that going forward, that would be a careful deliberation on what we think is wise from a market and profitability perspective. But that's a bit early for us to go into.
Nicholas George Lyall: And sorry, just on that calculation point, was that just literally -- it was difficult to calculate. So obviously, you've got to sort of gradually calibrate your numbers? Or is it the ICE is actually taking share, and that's what means the numbers are higher than you expected?
Torbjorn Mogard Wist: I can just comment briefly. This is a national roaming agreement, as you know. And that means that their customers have the right to roam in our network where they do not have their own network presence. As a result, what we have seen is that their customers have been roaming more into our areas than originally anticipated. And as a result of that, we are getting increasing traffic volumes into our network, hence, driving the turnover on -- or the sort of the revenues on this particular contract.
Benedicte Schilbred Fasmer: So confirming that our network is very strong.
Torbjorn Mogard Wist: Exactly.
Frank Maaø: I think we'll have to stop there, Nick. So if you have any further questions, we'll take them offline. Thank you.
Operator: Our next question comes from Ajay Soni with JPMorgan.
Ajay Soni: My one just on Finland. So you mentioned CapEx will be higher from fiber investments there. So the last few years, you've had, I think, capital intensity of around 12% to 13%. So does this materially step up in 2025 and future years? And then I was wondering if you could just give us a sense of where the fiber coverage is in Finland right now and where you hope to get to?
Benedicte Schilbred Fasmer: As we've said, our CapEx will be in the range of 14% to sales for 2025 for the Nordics, and then we will come back to you with guidance after that.
Torbjorn Mogard Wist: Yes. We don't guide specifically on Finland per se. The EUR 120 million investment in the building out fiber for the MDUs is being spread over 3 years. There will be a small chunk of that, that is falling within this year. So I don't think you should expect to see a big boost to the CapEx in Finland this year, but it needs to be done over the next 3 years as we see this as a both strategic and financially attractive step in the country.
Ajay Soni: Great. Can you just help me out with where you are with your coverage right now and where you hope to get to?
Torbjorn Mogard Wist: I think we'll just do that offline with IR, if that's okay.
Operator: Our next question comes from Maurice Patrick with Barclays.
Maurice Graham Patrick: Yes, Maurice here. Just an M&A-related question for me, please. On the Broadnet (sic) [ GlobalConnect ] deal, I think you talked about 22% fiber share going to 29%. I'm sure the competition authority will look at overall broadband share rather than fiber. But could you help us understand what you think your in-footprint market share would be now and go to on broadband? Just curious to understand if you anticipate or if we should see any sort of competition issues as the commission looks at that? And the second related M&A part of it is on Sweden. So today, Telia has announced the acquisition of Bredband, which will take its national market share of broadband from 32%, I think, to about 44%. I'm curious to understand, would you support that transaction? Do you think it's a good transaction? Did you look at it? And your general thoughts on Sweden broadband consolidation and the impact of that?
Benedicte Schilbred Fasmer: I think if you look at the GlobalConnect market share, as you say, you're correct, it will move from 22% to 29%. And the overlapping footprint between GlobalConnect and our own is around between 10% and 15%. So there is a certain amount of overlap. We do not believe that this will be problematic with the competition authorities. However, I mean, that is there -- that remains, of course, to be seen and that dialogue needs to be had before we can conclude. When -- to comment on competitors' transactions, I'll be very careful not to do. But I think overall, in this industry to build scale in order to drive necessary investments for -- to have really robust and resilient networks in times like these is necessary. So I think moves in order to do that and to achieve that makes a lot of sense in the markets.
Maurice Graham Patrick: Just a quick follow-up. I didn't quite understand the answer. So what do you think your in-footprint broadband market share is and will become post the deal with Broadnet (sic) [ GlobalConnect ]?
Torbjorn Mogard Wist: We haven't commented on that specifically, Maurice. So we need to get back to you on that offline.
Operator: Our next question comes from Ulrich Rathe with Bernstein.
Ulrich Rathe: My video doesn't work here, so apologies for that. So question is, is fiber regulation in Norway. What is the latest development there? You have talked about this in the past as a potential change that could be helpful. Is this now preempted with the deal? Or how would you describe the situation? If I may just ask one clarification question. When you talked about the cost trends in Norway, you highlighted the impact of business transfers into other units. I was under the impression that these organic trends would actually correct for the business transfers, and therefore, they wouldn't have an impact. Could you just clarify that as well, please?
Benedicte Schilbred Fasmer: If I can do the fiber one, you can do the second one. When it comes to fiber regulations in Norway, they are the same as they were in Q1. And yes, there are changes being discussed. The current hypothesis is that there will be full deregulations and potentially from 2026, but that's still not decided.
Torbjorn Mogard Wist: Yes. And there hasn't really been any developments in this particular area since what we stated on this in Q1. I think on the second question, in light of the fact there's only a limited amount of time left and 3 minutes -- 3 people in the queue, I suggest that one is covered offline, and then we can address a couple of other questions.
Operator: Our next question comes from Fredrik Lithell with Handelsbanken.
Fredrik Lithell: I would like to spend a little bit of time on the CapEx development. We are in the sort of the last inning of your 5G rollouts and especially in Sweden. So how should we see that progress when we move the next coming 12 months? Is it coming off more gradually? Or how would you describe that?
Torbjorn Mogard Wist: You're absolutely right. In terms of the country rollout percentages, very high. So we're sort of way past the peak on those. But there will be selective investments on whether it be resilience, advanced 5G features, but of course, not at the same levels we've seen in terms of historical rollout of 5G. So we're not going to guide sort of beyond what we have said for the year. As we mentioned, in terms of the CapEx for the year, we're making some additional investments in Norway this year. And I think in times of strong performance, which we've seen, it makes sense to discretionary -- for some discretionary allocation of CapEx, as mentioned.
Operator: Our next question comes from Felix Henriksson with Nordea.
Felix Henriksson: It's on Nordic organic service revenue growth where you did roughly 3% growth in the first half of the year and maintained your low single-digit guide. Do you think you'll be able to maintain the same pace in Nordic service revenue growth that you did in Q2 or H1 for that matter, in the back half of the year? And why not?
Benedicte Schilbred Fasmer: Thank you. We -- as you say, we had a good development on the service revenue. And we did some of the price adjustments earlier in the year this year, which kind of boosted the growth somewhat if you look quarter-over-quarter. So that will be a timing effect. We've had some new launches of product, both within the security side and in a financing product in the Norwegian market that has had a very good uptake. So we are on a good track, and then we expect the guidance to be as shown overall. But we'll do our utmost to deliver.
Felix Henriksson: Got it. And as a follow-up to that, I saw that your net adds trend in Norwegian mobile business improved a bit from the prior quarter despite of the price hikes that you've made in your back book. Can you maybe highlight a bit the reasons for that and how you're seeing the competitive environment at the moment in Norway also when it comes to the start of the third quarter?
Torbjorn Mogard Wist: Yes. I think we're not going to go into sort of third quarter speculation. But I think as you would expect in connection with back book price changes and stuff, there will be some churn. We've obviously seen that, that has stabilized as we've moved beyond it. I think sort of in terms of number porting within the country, it's -- we're performing well. And I think the competitive -- there are no sort of major competitive changes in the Norwegian market as we see it currently.
Frank Maaø: Thanks, Felix. I think we have a couple of callers left in the queue. No? But then I believe, operator, we can round up. I know many are logging on to another call as well. So operator? Yes. I think this concludes our session. So thank you very much all for listening in.
Torbjorn Mogard Wist: Thank you.